Operator: Thank you for standing by, and welcome to the Endeavour Group's Half Year 2026 Results Briefing. [Operator Instructions] I'd now like to hand the conference over to Jayne Hrdlicka, Managing Director and CEO. Please go ahead.
Carla Hrdlicka: Thank you, and good morning, everyone. Thanks for joining us today for Endeavour Group's Half Year 2026 results. I'm joined today by Kate Beattie, our Chief Financial Officer, who was most recently our Interim Chief Executive Officer. I'd like to begin today by acknowledging the Gadigal people as the traditional custodians of the land we're presenting from today and pay my respects to their elders, past, present and emerging. I'll start on Slide 4 and speak briefly to the group's half 1 highlights. In the first half, the group delivered underlying EBIT of $563 million, which is the upper end of the range we provided in our January trading update. In Retail, our continued focus on value and price leadership has been embraced by our customers and is delivering both sales growth and market share gains. The market remains highly competitive and despite a very strong holiday trading period, consumer softness continues to be evident. In Hotels, the business continued to perform well, supported by positive trends in food and bar transactions and targeted investment in renewals and new EGMs. Customer responsiveness to our investment in new games and improvements in the gaming experience is fast and links to broader engagement in the venue. This collectively is enabling very strong revenue growth. Moving to Slide 5. As foreshadowed in our January trading update, the group's underlying earnings were impacted by our decision to invest in lower shelf prices for our customers and also to compete more vigorously against the elevated promotional environment currently at play in Retail. Further, in half 1 F '26, the group incurred a pretax net expense of $45 million relating to significant items, and Kate will provide detail on that later in the presentation. During the half, we remain focused on managing cost out of the business. We delivered savings of $24 million through our endeavourGO optimization program, taking the total cumulative program benefits over 4.5 years to $289 million. The Board has approved payment of a fully franked interim dividend of $0.108 per share, which represents a dividend payout ratio of 70% of underlying NPAT. Slide 6 provides a snapshot of both the Retail and the Hotels business. Firstly, in Retail, sales increased by 0.2% to $5.5 billion in the first half, with sales momentum improving across Q2. Excluding specialty businesses, Dan Murphy's and BWS, delivered combined sales growth of 0.7%, reflecting the group's commitment to price leadership in a highly competitive market. In Hotels, sales grew by 4.4% to $1.2 billion in the first half, with sales momentum broadly consistent across both Q1 and Q2. Investment in Hotels, in both electronic gaming machines and venue renewals, combined with positive momentum in Food and Bar, contributed to the sales growth result. Now turning to Slide 7. In Dan Murphy's, we've returned our focus to delivering unbeatable value for our customers. This was achieved by resetting our shelf prices to reflect clear and meaningful price leadership in the market, both in-store and online as well as investing in competitive promotional activity. This has clearly resonated with customers, delivering both sales growth and market share gains. Half 1 highlights include a record level of purchase intent and value for money customer engagement scores, which in turn supported an all-time record sales month in December. Dan Murphy's achieved its biggest ever trading weeks leading to both Christmas and New Year's Eve with Christmas Eve setting a new daily sales record. Turning to Slide 8. BWS is undisputed as Australia's most convenient drinks retailer with more than 1,450 stores nationwide and even more pathways to purchase through delivery partners, providing the convenience of fast delivery in increasingly more locations. In half 1, we continued to deepen our customer engagement with record value for money and e-commerce voice of customer scores. This helped us to deliver our highest ever e-commerce sales month in December. More competitive settings are being established in BWS to ensure the team is fulfilling the mix of needs of their convenience-oriented customers. This can already be seen in increased activity in Everyday Rewards offers and increased focus on great value promotions, both in-store and online. Supported by our in-app promotion offering, Appy Deals, the BWS app now has 850,000 monthly active users with over half of these being millennial and Gen Z customers. Turning to Slide 9. In Hotels, we achieved strong trading results around key social occasions, including Father's Day, Spring Racing Carnival, Footy Finals, Christmas Day and New Year's Eve. These were bolstered by major international live music acts in Australia, including Oasis and Lady Gaga and continued in January with the Ashes and 2 UFC events. Gaming remained resilient, delivering mid-single-digit sales growth, supported by targeted investment in gaming room refurbishments and upgraded electronic gaming machines, with more than 800 new cabinets installed in half 1. In Victoria, we continue to gain market share, demonstrating good return on the investments made in the state. Sales growth in Food and Bars was supported by better tailoring of menus and record trading during key events. Our pub+ loyalty program now has over 600,000 active users, accounting for 29% of our F&B transactions, and our guest experience continues to strengthen with voice of customer score achieving 9.1 out of 10. Turning to Slide 10. We completed 21 hotel renewals during the half and have been pleased with the strong performance uplift they are delivering. Our FY '24 cohort of renewed venues continues to deliver collectively over 20% ROI in year 2 post the renewal, ahead of our 15% target. I encourage you to get out and visit some of our newly renovated hotels, including the Palace in Camberwell in Victoria, the Royal Beenleigh and Northern Grounds in Queensland and the new gaming -- the new premium gaming concept at the Skyways Tavern in Victoria. Moving to Slide 11, One Endeavour, which is a program established to separate our systems from Woolies and simplify our technology landscape. Last year, the decision was made to accelerate the stand-alone ERP system implementation and defer the store system separation to start after the ERP program. I'm pleased to report that the ERP system build phase is on track to complete in half 1, so in roughly 18 months -- half 1 of FY '28, so roughly 18 months from now. In F '26, planned OpEx is expected to be at the lower end of the previous guidance range of $50 million to $60 million and planned CapEx is expected to be below the guidance range, of $40 million to $50 million. Slide 12 provides a summary of the opportunities in the immediate property development pipeline. We continue to make good headway on our 5 highest priority redevelopment opportunities. The development applications for both the Forest Hotel and Chelsea Heights have been approved. Two additional applications have been lodged for the Morrison Hotel and Camberwell sites, and we are planning to launch the application for Doncaster Shoppingtown by the end of F '26. The 2 new DAs are freehold sites with current zoning classification for mixed-use development, which includes accommodation. In aggregate, these 5 sites have been independently valued at between $100 million and $150 million. We believe there is further upside to those valuations once our development applications have been approved. Turning to Slide 13. I'm pleased to say we've continued to progress our sustainability commitments. While I won't go through all the highlights on this slide, the most important point is that we remain committed to doing the right thing, including the responsible service of our products. Now turning to Slide 15. I know the majority of you would like to have a more fulsome discussion on our strategy today. And while we are well progressed, we're not yet ready to have a detailed and comprehensive strategy discussion. That is now in the diary for the 27th of May at the Forest Hotel in Sydney. But for now, I will share a few things. Our process started with getting the facts clear about our business and its performance, while at the same time, understanding the industry through the eyes of our customers. The customer work we did was both for Retail and for Hotel guests. The combination of those 2 pieces of work enabled us to see our business with fresh perspective, which led us to draw some simple conclusions. The first is that over the last few years, the strategy really was to focus on margin. And it's clear this caused us to lose focus on value for our customers at a time when they needed it most. This has now been addressed. You can see clearly from today's results that our customers have responded very well to the decisive action we've taken on price. The second, we are working on regaining the sharpness in what we stand for with customers across both Retail and Hotels. With Dan Murphy's, this clarity triggered the quick moves with respect to reestablishing material price leadership in the second quarter. With BWS, this gave us clarity on what value for money means for convenience shoppers. And in Hotels, it's clear we have work to do in leveraging our scale for good in the eyes of both our people and our guests. The third point is we have significant untapped potential across our portfolio, both in taking cost out as well as generating meaningful revenue growth. And the fourth, the cross-business potential and interconnected nature of our portfolio means it makes sense for shareholders to maintain a combined Retail and Hotels portfolio. I don't think those 4 things are probably of much surprise to anybody on the call, but it's important to note, we have very strong clarity on where we're headed off the back of those 4 points. While we have high-level clarity and the outline of our strategic priorities, this work is ongoing to ensure we have a detailed blueprint across the many initiatives that will create the backbone of our transformation. We look forward to sharing as much as we can when we meet in May. In the meantime, as you've witnessed, we are not hanging back waiting for the detail to be finished before we act. Where we have obvious moves to make, we are making them and with no regrets. The first of the obvious moves is that we're competing in retail. And to be clear, the intention is Dan Murphy's will not be beaten on price by anyone at any point for any reason. And importantly, BWS has significant growth opportunities in further differentiating itself as the market leader in convenience. The second of the obvious moves is acceleration of investment into our Hotels portfolio to fuel continued growth. We will get more sophisticated as we go, but we're in it to win it, and we are out of the gate. We look forward to talking about this more in May. Turning to Slide 16. I want to introduce our new executive leadership team. You'll have the chance to meet them properly in May, but I'm incredibly excited by the mix of perspective and extensive experience we have sitting around the leadership table. It is already making a very big difference. These are experienced industry leaders from top-tier consumer brands, but more importantly, each member of our leadership team brings an owner's mindset and a sharp eye to execution excellence, and we are in lockstep on our strategy reset. Turning to Slide 17. One of the ways we unlock value going forward is leveraging our scale in sites, infrastructure and customer data to unlock both significant continued cost reduction as well as revenue growth. There is significant value to be delivered for our shareholders from this unique portfolio, and we will take full advantage of the opportunities it presents. Slide 18 is the last slide before I hand over to Kate. I won't take you through the words on this slide, but the intent and focus should be clear. In Retail, we are resetting our multi-brand strategy to ensure we put the customer first, delivering more of what they value. In Hotels, we are accelerating investment. Underinvestment in the past has left us with a significant opportunity to accelerate both venue renewals and electronic gaming machine replacements. Using our now proven model to deliver very strong results is the intent. We are also focused on better leveraging our group scale to deliver more local autonomy for our teams and reduce costs while also enhancing our pub+ loyalty program. At a group and at a business unit level, we are simplifying the way we operate to drive both cost and bureaucracy out of the business. progressing our technology separation from Woolworths and looking at all of our assets to determine where and how we should participate. With that, I'll hand over to Kate to take you through our financial results for the first half in more detail.
Kate Beattie: Thank you, Jayne. Moving to Slide 20. In the first half, as Jayne said, group sales were up 0.9% versus the prior comparative period, reflecting improved momentum in both Retail and in Hotels. Our underlying group EBIT, which includes $20 million of One Endeavour program costs in Retail, declined by 5.4%, with growth in Hotels more than offset by a decline in Retail. Finance costs of $155 million decreased by 1.9%, primarily driven by our lower average net debt through the half. Underlying profit before income tax of $408 million declined 6.6% versus the first half of F '25, which was largely as a result of the lower retail earnings performance. As we previously flagged in our trading update on the 13th of January, our first half underlying earnings excludes the impact of a pretax net expense of $45 million related to significant items. This amount consists of a $40 million provision relating to our estimated one-off cessation costs, which are arising from the planned closure of the Melbourne Liquor Distribution Centre in 2028. It also includes a $4 million net gain relating to a one-off gain on the sale of gaming entitlements, offset by hotel property impairments and $9 million of advisory fees related to our strategic review. Moving to Slide 21. The group delivered a strong cash realization ratio of 165%, generating $997 million of net operating cash flows in the half. The reduction of $39 million compared with the same period last year is primarily due to the lower earnings, as explained earlier. Free cash flow was lower by $153 million, reflecting accelerated investments, including 16 new retail stores and 21 hotel renewals, with over 800 new EGMs installed. Turning to Slide 22. You can see that net debt has decreased by $34 million compared with the first half of F '25. This reduction is supported by reduced trade working capital as well as proceeds from asset sales. Underlying leverage ratio of 3.3x was supported by the reduction in group net debt, noting, however, that our operating cash flows are seasonally weighted to the first half, so we expect our net debt and consequently, our leverage ratio to be higher again at year-end. At balance date, the group had $1 billion in undrawn debt facilities, giving us ample headroom. The F '26 full year finance costs are expected to be broadly in line with F '25. Turning to Slide 23. You can see gross capital expenditure increased by $71 million in half 1. The increase compared to half 1 F '25 largely reflects our network expansion in Retail and renewal programs in Hotels. In Retail, we opened 5 new Dan Murphy's and 17 new BWS stores. And in Hotels, we completed 21 hotel renewals, including 15 whole of venue repositioning projects, while we continue to upgrade our gaming fleet, as we've spoken about. Net capital expenditure increased by $85 million after including $24 million in proceeds realized from asset sales. For F '26, we have revised our total CapEx guidance upwards to $460 million to $500 million, reflecting the continued acceleration of growth investment in hotel renewals. Turning to our segment results in a little more detail and starting with Retail on Slide 25. In the first half, total Retail sales increased by 0.2% to $5.5 billion. Our core brands, Dan Murphy's and BWS delivered combined sales growth of 0.7% for the period, noting this excludes our specialty businesses. In a competitive market landscape, combined sales for Dan Murphy's and BWS grew by 2.2% in the second quarter, or 0.6% adjusting for the estimated $45 million sales impact of supply chain disruption in the prior comparative period. Our online business continues to be a highlight with sales growing at 35.1% to represent 11.3% of the combined Dan Murphy's and BWS sales. Gross profit margin declined by 84 basis points to 23.9%. This reflects our focus on price leadership alongside elevated promotional activity across the market. Underlying cost of doing business remained flat year-on-year at 18% of sales with inflationary headwinds, including a 4% award-wage increase, mitigated by savings from our endeavourGO optimization program, restructuring benefits and lower One Endeavour technology program costs. While costs have been well controlled, the lower GP margin led to an underlying EBIT of $327 million, a decline of 11.6% compared to last year. The bridge chart on the bottom left of this page shows an indicative sizing of these respective performance drivers. Turning now to Hotels performance on Slide 27 for the detail. In the first half, the Hotels business delivered a strong result with sales growth of 4.4%, growing to $1.2 billion. On a comparable hotel basis, sales grew by 4.2%. Performance was strong across all key sales drivers. Food and bar sales growth benefited from menu optimization and record trade during major-event periods. Gaming remained resilient, delivering mid-single-digit growth, and this was supported by our investment in over 800 new machines installed during the half. Accommodation continued to deliver strong growth by successfully capturing peak demand during key events. Gross profit margin expanded by 12 basis points to 85%, driven by a favorable sales mix, better buying initiatives and optimized menus. Underlying cost of doing business grew by 4.4%. Similar to Retail, the 4% award-wage increase was a material headwind, which we managed alongside our continued investment in guest experience. Our result also reflects higher repairs and maintenance and a step-up in depreciation and amortization following our accelerated investment in EGMs and renewal programs. These impacts were partially offset by the cycling of prior year One Endeavour technology program costs. Underlying EBIT grew by 5% to $275 million, resulting in an underlying EBIT margin expansion of 13 basis points to 23.5%. Again, the chart on the bottom left provides further detail on the sizing of these EBIT drivers. I'll now hand back to Jayne to take you through the outlook.
Carla Hrdlicka: Thank you, Kate. So Slide 29. In a competitive and challenging liquor market, we've continued to gain share in Retail. However, sales growth in both Retail and Hotels moderated in February compared to January. It should also be noted that Retail sales in the first 7 weeks of the prior comparable period were impacted by ongoing effects of supply chain disruption. While the outlook for consumer spending remains uncertain given elevated inflation, a war in the Middle East and rising interest rates, the group's scale, value proposition and market-leading brands means we are well positioned to compete and win in a market where consumers remain focused on value for money. Finally, in closing, I'd like to thank our 32,000 team members for their focus on delivering outstanding value products and importantly, experiences for our customers and guests. We are confident and energized about our future and are committed to delivering on the very significant opportunity we see in our portfolio. I will now hand back to the operator for Q&A.
Operator: [Operator Instructions] Your first question today comes from Bryan Raymond from JPMorgan.
Bryan Raymond: Just my first one is just on gross margins. Obviously, it's down 84 basis points in the first half but you're cycling availability issues. So we sort of understand some of that. And there's obviously a reset in pricing going on. I just wanted to understand sort of the drivers for the second half and particularly around the sales outcome you achieved. Like if I look at underlying like-for-like growth, in the trading update, is probably close to flat, just for industrial action. So if it doesn't respond and get to a certain threshold, I'm not sure what that threshold is, should we assume this pace of gross margin compression continues in the second half and even into '27?
Carla Hrdlicka: Look, let me start on that, and then I'll hand it to Kate to add more. But I guess the first thing with respect to the first half gross margin compression. One thing to note there is that it's really roughly half the month that we had, a reset on price and increased promotional activity by us. And then we also had the offset of the lack of stock to promote in December of last year. And so those 2 things probably offset each other. So 84 basis points for the first half is not a bad start in thinking about the second half. And the second half with respect to the sales dynamic, we're seeing green shoots everywhere in the portfolio. So we're encouraged by that. But we have to continue to compete. We will continue to compete. And so that is against the entire market. And that dynamic is impossible to perfectly predict. And so our commitment we've made is loud and clear that we are going to have a material price leadership in Dan Murphy's, and we are going to be competing, and the level of promotional activity will be driven by the market.
Bryan Raymond: Okay. Just as a follow-up to that, if your sales momentum remains close to 0, and obviously, it's a tough market at the moment, should we be expecting on -- like, just promotions being used as a driver to try to drive that? Or is there other levers that you could switch to? Because I think we're just trying to work out as the market leader, market share gains are getting probably incrementally more difficult. I'm just trying to think about if there's other levers you can pull other than gross margins.
Carla Hrdlicka: Yes. Yes, we might think about it a little bit differently, Bryan. We're really encouraged how quickly consumers responded to the reset in price, but we haven't gotten started yet with respect to really marketing the changed posture of Dan Murphy's, and there's a lot more to come in terms of what consumers will experience in Dan's in particular as well as BWS. And so I don't think you can look at a tick done with respect to what we plan to do to compete better in Retail. We've just gotten started, and these are early gains, not a run rate expectation from our standpoint. And so I think this is early days. We're really excited to see green shoots quickly, but we're nowhere near our run rate in terms of the benefits associated with the investments that we've made.
Operator: Your next question comes from Shaun Cousins from UBS.
Shaun Cousins: Maybe just a question on volumes in the half and maybe trading to date. I mean given the price investment, can we assume that Endeavour Retail has actually been growing volumes? And I guess, for the industry, have you seen the price discounting that's been led by Dan Murphy's? And then where you've matched others, has that actually driven overall industry volume growth? Or are we just seeing Endeavour Retail regain some of the lost volume and value share from prior years?
Carla Hrdlicka: Yes. I think the market itself is soft. We saw record results in Retail in December. That's record results in our history. So we were doing a lot of really good things in December in a soft market. And so we're definitely taking share in every lens we take on it.
Shaun Cousins: Our volumes up?
Carla Hrdlicka: In the market, the volumes...
Shaun Cousins: No. Sorry, pardon me. For both, for yourself and the market.
Carla Hrdlicka: Kate, do you want to talk about absolute volumes?
Kate Beattie: I think it's definitely up for us as we cycled last year, clearly. But I think that it's hard to take a read through that to say that, that represents an underlying trend. As Jayne said, I think we would say the market is in volume decline. Within that context, we are gaining share. So our volume momentum is certainly improving, and that's been improving steadily since we began the shelf price reset, which was approximately back in August last year.
Shaun Cousins: Fantastic. And just to follow up to that on the online growth that you called out, sort of, Kate. That was a highlight in the second quarter. It looks like it was up some 47%, but even your 2-year stack sort of jumped quite a lot. How does Endeavour consider balancing the growth in online where you've also seen a lot of competitive promotional activity and then what a negative impact that has on store economics because we're sort of seeing store sales in decline. So how do you think about managing that, particularly in terms of what it means for CODB and size of the network?
Carla Hrdlicka: Look, I'll take a crack at that. We're really delighted to see the volume. And if customers want to buy online versus being in store, then we're quite happy to support that. We have an omnichannel business. And the majority of the volume growth in online came through Click & Collect. That's moving through our stores. That's leveraging the fixed cost in the store. So while it doesn't affect the calculations on same-store sales growth, it's actually activity that's coming out of the store. And so we're pleased with the growth momentum that we achieved with the reset, and the promotional activity is market competitive. And so we're not concerned about that being something that is creating some sort of structural problem in the business.
Operator: Your next question comes from Michael Simotas from Jefferies.
Michael Simotas: If we look at the price investment that you've made so far and sort of think about the second quarter run rate, do you think if there's no change in market competitive dynamic, you've invested enough in price? And just a follow-on from that, what are your customers telling you on value? When we look at the overall NPS score, there hasn't been a lot of change, but just interested in the detail underneath that.
Carla Hrdlicka: Look, I'd say it's early days, right? So it's impossible to be definitive where we sit today. And the most important thing in here is we are going to compete. And we recognize that to be a great retailer going forward, we're going to have to do a great job of taking cost out of the business, improving sophistication in the way that we bring better value to customers and continue to invest in customer experience and ensuring that we've got the sharpest prices in the marketplace. And for Dan Murphy's, that means materially better.
Michael Simotas: And when you look at your customer metrics, is that price investment being materially reflected in your customers' opinion of value?
Carla Hrdlicka: Again, I'd say it's early days. We see the signs that they're really happy with what we're doing. The value for money scores are improving. But again, I'd say it's early days, and we have just gotten started. And the marketing push and the way we think about engaging customers will all reflect a different stance and tone with respect to both BWS and Dan's. And all of this will be a virtuous cycle that continues to support our core messages to customers.
Kate Beattie: I might add another data point to that. I think it's important to note, and it's probably important to the context of Bryan's comments about underlying sales being broadly flat, it's, are we seeing good momentum? And Dan Murphy's and BWS combined have now delivered 6 consecutive months of sales growth to the end of February. So I think that talks to the good momentum we're seeing. And yes, there's some cycling of MLDC in that, but the growth trajectory is strong, and it commenced well before that cycling impact kicked in. It started when we started to invest in lowering shelf prices and of course, has continued through since then.
Operator: Your next question comes from David Errington from Bank of America.
David Errington: Look, I understand totally the strategy, to be unbeatable in price and to leverage your muscle. I mean it's ridiculous that the market leader isn't leading the market. So I totally get that. But the question I've got is on your cost management. It looks as though your first half, you've done an outstanding job with endeavourGO. And while we're driving gross margins down 85 basis points. To keep the shareholders reasonably interested and happy, you just got to drive those costs out, which you have in this first half. My question is, can you go into detail, please, how you did that? I mean we touched on it a little bit with your trading update in January, but you didn't go into too much detail. Can you basically go into how you're driving those costs out? What happened -- endeavourGO, I think you've pulled $24 million out, a large chunk of that, obviously, Retail. Can you go into where that's coming from? And what opportunities you've got as being able to drive those costs out that will enable you to sustain relatively that we don't just bludgeon earnings. Can you go into detail as to how you're going to keep driving those costs out, what opportunities you've got so that you can get on this retail spiral that you're obviously trying to achieve? But yes, first half, great outcome with costs, but the sustainability and the ability not to damage customer experience by going into this cost-out program. If you could go into that with some details, that would be really appreciated.
Carla Hrdlicka: So, David, I'll let Kate talk about the first half in as much as we're prepared to talk about the details. What I would say with respect to forward-looking view, we're really keen to engage in May on that in as much detail as we're comfortable. But we're not worried about our ability to continue to manage cost out. We see plenty of opportunity to continue to manage cost out of the business, and that's probably as far as we can go with respect to outlook. And -- but Kate, do you want to comment on first half?
Kate Beattie: Yes. Thanks, Jayne. I think I'd point to 2 things. You're absolutely right to point to the endeavourGO optimization program. I think it's self-evident that over the period that we've been reporting savings against that program, it's continued to deliver. And you might note that we had a target of $290 million, and we're now within $1 million of having delivered that target, which is just in time because it was an F '26 target. So we're there, right? We've delivered $290 million cumulatively in savings across that program, and that continued to deliver in the half. And we've spoken before about the fact that, that program addresses both cost of supply chain, so costs that sit in GP as well as costs that sit both in the front line and in the head office of the business. It's also probably worth remembering that in the second half last year, we spoke about the fact that we had undertaken restructuring across the business, and that has also been a material driver of cost savings in the half.
David Errington: It's a cheeky follow-up, and it's probably -- hopefully, it's not considered a second question, but it's a follow-up with One Endeavour. Are you going to start getting tailwinds to those costs in '27, do you think? Or do you think it's going to be roughly the same level? It's a bit cheeky, the question, but obviously, that's a big chunk of costs that you're wearing. Can that ultimately be a tailwind in '27? Or do you think that's going to be sustained?
Carla Hrdlicka: You mean in terms of the run rate benefit associated with those costs? Kate?
David Errington: Yes. Yes. Well, you're chewing $50 million in costs in Retail in '26. When can we start seeing a bit of a tailwind to that coming in because that will obviously -- when those costs come out, that will obviously be supportive of your Retail earnings as well?
Kate Beattie: It's a good question. I think we've said before that the program we expect broadly to continue to around F '30 because we've still got the store system separation to come after ERP. At the moment, we're not in a position to comment on next year's numbers for that program, recognizing we'd still be building the plan for that, but we will do so in due course as we have been update you on the program expectation on a go-forward basis. But yes, eventually, that program disappears and those costs should come down to 0 for that program, recognizing all companies go through technology investment cycles. So hard at this point to say what the outlook on a multiyear basis would be.
David Errington: Good job on costs in the first half.
Operator: Your next question comes from Tom Kierath from Barrenjoey.
Thomas Kierath: Yes, mine is on Hotels. I think when you strip out the One Endeavour costs in the PCP, it looks like the Hotels profit is pretty flat year-over-year. When I look at Slide 10, it says that the hotel renewals have been delivering really strong returns. So is the way to interpret that like the Hotels rather that aren't being touched by renewals, the profitability in those is actually going backwards? And how should we kind of think about, I suppose, that kind of legacy or the ones that you aren't touching going forward?
Carla Hrdlicka: Kate?
Kate Beattie: Yes, I certainly think it's fair to say that to the extent we haven't touched a venue in a long time, we would be incurring elevated levels of, for example, repairs and maintenance expenditure. And I think some of that's reflected in the results for the half. But we are obviously accelerating the renewal program to address that. Our goal is to catch up on that tail of untouched venues that do require some investment. And I'd say in addition to that, we've uplifted investment in a couple of key areas in guest experience. So that would include, for example, investment in bands and acts, which are a key part of customer attraction. We've also got a degree of elevation of security costs, which again in the context of well-understood market dynamics requiring that and in service, in particular parts of the guest experience. So all of those are contributors to the results for the half.
Thomas Kierath: Great. And maybe just a follow-up on the Hotels side. Like how are you guys thinking about mandatory carded play going forward? Just -- I don't know, just a few high-level observations just on that -- on that kind of development would be helpful.
Carla Hrdlicka: Yes, that's an open topic. There are lots of moving parts state by state. And so we don't have a crystal ball to predict what's happening there. We're really comfortable with the settings that exist today, and we don't see a dramatic change coming there. And I guess I would just add the obvious, which is, this is important revenue for each of the states. So it's in nobody's interest to do anything dramatic. It's in everybody's interest to make sure that we're being responsible.
Operator: Your next question comes from Craig Woolford from MST Marquee.
Craig Woolford: Can I ask a question about Pinnacle? It doesn't get a lot of airtime in the release at all, but how did that portfolio perform? And in the context of what you're inferring in the strategy outlook, there's some rightsize on shape and size of the portfolio. Does that relate to Pinnacle as well?
Carla Hrdlicka: Sure. I guess I'd start by saying Pinnacle is a really critical part of our strategy, has been and will be. It's our private label portfolio. It's beer, spirits and wine. It is a mix of things that we produce ourselves, which is commercial wine largely, and it is also third-party contracted supply for principally beer and spirits and some imported products across the portfolio. So it is a really important part of our sales mix. The added margin that comes from Pinnacle is material and important for shareholders, is not different to the way I think Coles and Woolies, think about their portfolio of private label sales. So it's a critical part of the portfolio going forward. It's performed well. But like every consumer products portfolio, we need to continue to and will continue to look at how well each individual SKU performs, and we are managing the tail of underperforming SKUs or lesser performing SKUs, just like we do with our third-party suppliers. And we've already taken action with a handful of SKUs. Kate, I don't know if you have the absolute number, it probably doesn't matter, but there are SKUs that are already on the way out, and we'll continue to evaluate the portfolio as we go forward.
Kate Beattie: Yes, I think that's right. I would add, we have included a note, I think, in our ASX announcement that highlights the fact that we introduced 110 new owned and exclusive products through the Pinnacle portfolio in the half. So as we've said previously, it's always important to recognize that Pinnacle plays a really critical role in our fast path to product innovation because we can use our customer insights to work through that portfolio on what's trending and what's upcoming and make sure that we're continuing to provide attractive new products to our customers.
Craig Woolford: So was Pinnacle like influential on the gross margin outcome? Or was it inconsequential?
Carla Hrdlicka: Inconsequential in the context that it's providing the same margin support that it's provided in the past.
Operator: Your next question comes from Caleb Wheatley from Macquarie.
Caleb Wheatley: I wanted to follow up on the hotel side, if I could. Yes, guiding to about 35 renewals or so for the year. Just keen to get any updated thoughts on how we should think about the pathway to sort of get that back to the required run rate to sort of maintain average age there? And then obviously, any incremental comments around sort of balance sheet settings, noting that the payout ratio on the dividend and the sort of target leverage numbers don't seem to have been reiterated like they have been at the back of the presentation pack, please?
Carla Hrdlicka: Well, I'll tackle the first bit of it at a high level. The game plan is to renew as fast as we can, and that's both renewing and adding new EGMs to the portfolio. And so we've got a game plan to do that. We've got a refined formula now on what works, and we're doubling down on that. In every new renewal, we learn, and the next one is better. So there is no constraint on renewals other than just the process and time it takes to both get the planning done and then get the execution delivered. And we're very mindful to how much we invest as we do that and making sure we're learning and getting smarter and managing our costs appropriately, both on the CapEx side and the OpEx side. But Kate, you want to talk to the other parts of the question?
Kate Beattie: Yes. I think the other thing I would add on renewals is, what we've been working on for some time and delivering good success in is building a growing pipeline of funnels of hotels. So we're effectively putting more -- have more opportunities to put through the renewal funnel. And the way we're thinking about it is there are going to be some venues which would benefit from relatively light touch but is still going to refresh the guest experience materially without needing to go through DAs and so on. So it's working on how do we keep a steady stream of those going while also working on the bigger, more impactful whole of venue repositionings, for example, and making sure we've got a good healthy and a mixed bag of those opportunities so that as and when we get approvals or things need to shift around, we can still continue to invest, and we're very confident with that growing pipeline. In the context of balance sheet settings, I think it's certainly safe to say at the strategy update, we'll talk about how we're thinking about our capital management framework in the context of our intention to accelerate that investment.
Caleb Wheatley: Okay. And just as a follow-up, the refined formula comments that you made there, Jayne, is that sort of more around most effective projects from a return point of view? Is that something around the cadence and looking to accelerate that or otherwise? Any additional color you can provide on that refined formula learnings within that?
Carla Hrdlicka: I'm sorry, was the question basically do we expect to deliver the same sort of returns?
Kate Beattie: What's the refined formula.
Carla Hrdlicka: The refined formula is effectively making sure that we're learning from each renewal and we're adjusting as we go. So we don't have a set and forget model. And to Kate's point, that's led us to, gee, there are a whole lot of venues that we can touch very lightly and make a difference commercially. We don't need -- they don't all need to be major refurbishments. And so yes, we're just working across a broader funnel of opportunity than maybe we had in our sites before.
Operator: Your next question comes from Phil Kimber from E&P Capital.
Phillip Kimber: I just had a question. You noted that February sales have slowed in both Retail and Hotels. I was wondering if you could give a little bit of color on that. I know it's a short time period, but was it an aggressive slowing? Or are you just sort of calling out something more modest? So just any color you could provide would be great, given it's both Retail and Hotels.
Carla Hrdlicka: Kate, do you want to talk to that?
Kate Beattie: So I think we did talk about the fact that the Retail sales in the first 7 weeks were impacted by the cycling of the prior year, the supply chain disruption. I think other than that, we don't think there's a material read-through. We're always wary about providing point-in-time comments on very short trading periods, and this is an example of that. It's definitely too early for us to tell whether specific things like the recent interest rate increase or indeed the more recent impact of the what's happening in the more global context, having an impact on consumers. But it is safe to say, and I think we said it in the context of our market, there is no doubt that we do expect cost of living pressures to continue to be impactful to our customer base, and therefore, we do need to and will do everything we can to make sure we are providing good value for money across the board.
Carla Hrdlicka: And I'd also say that in the context of such a big December, it's not surprising that February is a bit softer than it would historically have been, just given the 6 wallets that most of our market stares into in managing their budgets every month. And what we're encouraged by really is the robustness of the experience economy. We play squarely into the experience economy in both Retail and our Hotels business. And so I think Kate's point around not overreacting to February, which is, I think across most of Australia, February will have been a softer month.
Operator: Your next question comes from Richard Barwick from CLSA.
Richard Barwick: Can I just clarify a little bit of what you're talking about on your hotel renewals, particularly in the context that you've upped the CapEx guidance. So in the first half, 21 renewals, including 15 whole of venue, 800 EGMs. And yet you're talking about in the second half only doing 14 renewals and 800 EGMs, but the CapEx budget is up. So I guess is the implication that the 14 you're doing particularly large projects? I'm just a bit surprised, the numbers don't seem to stack up in terms of the number of renewals.
Kate Beattie: Yes. I think, Richard, I would talk to the comments I made about a mixed portfolio of small and large. The amount we spend in any half, which is reported in the CapEx number, is going to be a function of the individual projects timing and size. And so I don't think there's a direct correlation that can be drawn between count and dollars, which is why we're giving you guidance on where we think CapEx is going.
Richard Barwick: Right. Okay. All right. So it's not -- you can't -- we can't look at sort of renewals, or CapEx divided by renewals equals the average number and model on that because it's going to bounce around much. Is that what you're saying?
Kate Beattie: No, definitely not. And maybe to quantify that further, I think when we look -- when we talk about a venue repositioning, we're typically talking in the order of approximately a $5 million spend sort of around that value on average. But some of these are much smaller and they're more like the $1 million or even $0.5 million. I think we don't report below $200,000 because we call that just a very minor upgrade. But there really is a big mix in between those bookends. And at the top end, of course, you are spending much more months both on the project and therefore, in disruption to trade, but then also a much bigger payback when you get it in terms of dollars returned to the business as a result. But there isn't a law of averages here. It really is project by project.
Operator: Your next question comes from Sam Teeger from Citi.
Sam Teeger: I wanted to discuss Paragon. Can you let us know how much capital is tied up here? And also given the industry oversupply, would it be advantageous for shareholders if you were to source wine from third parties opposing to make it -- instead of making it yourself? And then also, given Treasury Wines found it difficult to divest their commercial portfolio in 2024, is there anything different about Paragon we should consider as to why it might be easier for Endeavour to sell it if you decide to go down that path?
Carla Hrdlicka: So I guess the first thing I'd say which is important to note is that we produce to what we sell. And we're very sophisticated about how we do that. So for us, our portfolio of brands deliver very strong margins because we don't have a big inventory problem, which is the challenge that most of the -- rest of the wine industry is staring into right now, given how far in advance they're trying to forecast volume and then there's been some market disruption for them that's of magnitude, out of China, et cetera, et cetera. So we're quite different because we're producing for our own retail needs. I'll let Kate talk about the asset base. I'm very confident she's not going to go into detail, but I'll let you have a crack. And you would assume that we're having a hard look at everything in the portfolio, and we're eyes wide open with respect to the dynamics at play in the market. But I just want to return to my first point, which is, we don't have a problem with respect to our fine wine brands that are in our private label portfolio because we are producing to what we need to sell. And are there ways to optimize and buy third-party grapes, et cetera, you'd expect we look at all those options on a regular basis to make sure that we're optimizing the cost position of everything that we produce. But Kate, I'll let you have a crack at the Paragon question.
Kate Beattie: Thanks, Jayne. I'll add a couple more comments. I think the first thing to note is our very small handful of premium wineries represent a very, very small volume of the premium and ultra-premium wine that we sell. The vast majority is sourced from third parties, including exclusive brands and imports as well. So it's -- I would say immaterial -- boutique and immaterial in the context of our total sales portfolio. And also even within those wineries, we are continuing to optimize how we source the grapes that flow into the product. So -- in the half, for example, if you look at our assets held for sale on our balance sheet, you'll notice that there's a couple of vineyards that we are in the process of finding a buyer for. So we are always looking at how we manage the balance of what we hold versus what we source to make sure that we're optimizing the asset base.
Operator: Your next question comes from Michael Toner from RBC Capital Markets.
Michael Toner: Just on gaming, noting your commentary on Hotels still growing share in Victoria. I'm curious how Hotels are performing in Queensland relative to market. Is that gap to market sort of consistent with what we've seen in recent results? And is that trend of clubs outperforming pubs and sort of regions outperforming metro as you've previously called out, still a headwind there to achieving the level of market growth that, that state has experienced?
Carla Hrdlicka: Kate, do you want to talk to that?
Kate Beattie: Yes, I will. Thank you. So we've seen improved performance in Queensland. It's not the only state we've seen improved performance in, but we're really pleased with the momentum. We would say that's primarily driven by our investments, both in the experience in the venue as well as in the gaming machines themselves. So we are certainly moving in the right direction, but as with all things, these things take time. I think that's probably the primary comment to make here. We're happy with how we're progressing in what is a really buoyant market.
Carla Hrdlicka: I would just add to Kate's point, the focus on renewals and adding new gaming machines is impacting positively the entire portfolio, not just Victoria.
Kate Beattie: We've previously made the comment, and I would reiterate it here that where we have invested in renewals, we see on average that the performance is in line with the rest of the market. So it does shift our relative performance up in a way that is really pleasing.
Carla Hrdlicka: Yes.
Michael Toner: Okay. And if I may, just very quickly clarify something in the presentation on One Endeavour. So that spend coming in terms of the lower end of guidance, is that kind of pushing out the total spend, i.e., like maybe there's some delays to the program? Or is that just reflecting a total lower spend when we think about our forecasting out to like FY '30 plus?
Kate Beattie: Yes. That, we're pleased to say that reflects lower expected spend for the program than we had previously thought would be incurred. So it's not pushing out and the program. It's certainly not delayed. We're really happy that we've finished the end of the design phase for the ERP program now, and we're about to start the build phase. And...
Carla Hrdlicka: Team there are doing an exceptional job.
Kate Beattie: That's right.
Operator: Your next question comes from Peter Meichelboeck from Select Equities.
Peter Meichelboeck: Just in relation to the Hotels business, you upgraded the 800 EGMs in the half, and I think you indicated doing another 800 in the second half, and that sort of follows, I think, 1,000 that you did and accelerated sort of 1,000 in the last year. That sort of annualized rate of 1,600, is that the sort of long-term rate that we should now be thinking of going forward?
Carla Hrdlicka: I don't think we're wanting you to lock on a particular number going forward. We are accelerating. I think we might deliver more than 800 in the second half, but we're saying that's the floor. And so we're not capping or setting targets. We're looking at the portfolio and the commercial opportunities and working with our suppliers to figure out how quickly we can get into a position where we're incredibly competitive as a portfolio.
Peter Meichelboeck: And sorry, can I just follow up on the 800 that you did in the first half, would most or all of them be within the 21 renewal sites, or they spread more?
Carla Hrdlicka: No. It's definitely spread more broadly than that. So think about them as 2 disconnected things. When there is a renewal happening in the -- in a particular gaming venue, the renewal will take place to upgrade the experience of the gaming venue. It may coincide with the turnover of some machines in that venue, may mean that there are more machines going into that venue. It's a case-by-case situation. But the portfolio of gaming machines, we're looking at across all venues, not just those who are going through an upgrade.
Operator: Your next question is a follow-up from Bryan Raymond from JPMorgan.
Bryan Raymond: Just on -- back on the Retail business. Just -- I'd be interested if the sales growth is particularly much stronger or weaker in either BWS or Dan Murphy's? I don't expect specific numbers, but just directionally because Coles saw convenience -- the convenience networking growth and implies large declines in their warehouse format. Did you see the inverse? And also given the Dan Murphy's investment in price. I'm just interested in the relativities there.
Carla Hrdlicka: I'll let Kate talk about specifics, but BWS is performing well. We are very pleased with the BWS portfolio. Dan Murphy's has had faster major changes put to it. And Dan Murphy's also during Christmas -- I mean, Dan Murphy's is the place to go during Christmas for family gatherings and events and things. So there's an obvious migration towards Dan's that takes place in December. But I think we're the undisputed leader from the standpoint of convenience retailing, and we don't intend to be beaten there as well as we're not intending to be beaten with Dan's. Kate, do you want to add anything to that?
Kate Beattie: I think the key thing to say is, as I said, both businesses combined have been delivering sales growth for 6 consecutive months. To the extent that Christmas attracts a disproportionate share to Dan Murphy's irrespective, which it does, and we were cycling supply chain disruption last year, there's been an impact in the half that I wouldn't regard as normal. We're very pleased with the momentum in both businesses. And I also want to take the opportunity to underscore the profitability of the portfolio because the flow-through of the momentum into EBIT margins also continues to be very healthy for our sector.
Carla Hrdlicka: Yes.
Operator: Your next question is a follow-up from Michael Simotas from Jefferies.
Michael Simotas: Just a follow-up to Bryan's question actually. Woolworths has had some very good volumes in the last several weeks and the inverse of that would have been a drag on your convenience business or BWS format. Do you think that change in foot traffic into Woolworths stores has had a material benefit to your business? Or is it too early to call that yet?
Carla Hrdlicka: No, I'd say a couple of things on that count. One is that our relationship with Woolworths continues to strengthen and improve and the way in which we work together between BWS and the Woolworths Supermarkets has improved and will continue to improve. You can see that in the way that they're promoting online and the way we feature in online shopping as a grocery customer of Woolworths. You can see that in the way that we're working together with Everyday Rewards. And so we are competing together much better than we ever have before. And that is on top of the fact that they've got more foot traffic going through their stores. So to underscore, I think, a question that Bryan made, there's no -- looking at one of our competitors' results, we look at BWS. There's -- our portfolio is strong. It's performing well, and we're really pleased about that, but we're also really excited about its opportunity going forward to compete even better.
Operator: There are no further questions at this time. I'll now hand back to Ms. Hrdlicka for any closing remarks.
Carla Hrdlicka: Fabulous. I'll just finish by saying this is a result that shows green shoots. We're pleased with that. We've taken fast action on a couple of things that we thought were really important, notably competing and competing strongly from a retail standpoint, which triggered a price reset in Dan's and ensuring then that we're also matching off promotional activity that is taking place around us. We've got one major competitor, and we've got lots of smaller competitors, and they're all competitors, and we're very conscious of all of them. And so this is the beginning of a journey that we're really excited about. And I think the Hotels business, doubling down and investing in renewals and electronic gaming machines is one piece of the story that will come with Hotels, but it's an important first step, just like the price reset in Dan's is an important first step. And we're really looking forward to the conversation in May and getting into more of the detail with all of you at that point. So this is the beginning of a journey, and we're really excited about that journey. So thank you all for joining us this morning, and we appreciate this is a very busy day at the end of a very busy season. So we're grateful for the interest. And again, I'll finish on thanking our 32,000 employees who all made a big difference in this period.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.